Operator: Good morning, everyone, and welcome to the CubeSmart Third Quarter 2019 Earnings Conference Call. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Charlie Place, Director of Investor Relations. Please go ahead, sir.
Charles Place: Thank you, Chad. Hello, everyone. Good morning from sunny Malvern, Pennsylvania. Welcome to CubeSmart's Third Quarter 2019 Earnings Call. Participants on today's call include Chris Marr, President and Chief Executive Officer; and Tim Martin, Chief Financial Officer. Our prepared remarks will be followed by a Q&A session. In addition to our earnings release, which was issued yesterday evening, supplemental operating and financial data is available under the Investor Relations section of the company's website at www.cubesmart.com. The company's remarks will include certain forward-looking statements regarding earnings and strategy that involve risks, uncertainties and other factors that may cause the actual results to differ materially from those forward-looking statements. The risks and factors that could cause our actual results to differ materially from forward-looking statements are provided in documents the company furnishes to, or files with, the Securities and Exchange Commission, specifically the Form 8-K we filed this morning together with our earnings release filed with the Form 8-K and the Risk Factors section of the company's annual report on Form 10-K. In addition, the company's remarks include reference to non-GAAP measures. A reconciliation between GAAP and non-GAAP measures can be found in the third quarter financial supplement posted on the company's website at www.cubesmart.com. I will now turn the call over to Chris.
Christopher Marr: Thank you, Charlie. A solid quarter, given the challenges we knew we were facing in the quarter from difficult expense comps and the impact of new supply on our top line growth. Our thesis on supply remains unchanged. We continue to expect new store openings in our top 12 markets to peak in 2019 and decline in 2020. Based on our internal analysis, we currently see a slowdown in deliveries in each of our top 12 markets, with the most significant declines in Chicago, Miami, Dallas and Houston, markets that experienced the impact of new supply early in this cycle. So while we expect a reduction in 2020 deliveries, given the fact that the average length of a customer's stay is about 13 months, we expect the impact of the supply and its related pricing pressure will continue to weigh on top line growth into 2020, albeit at a gradually reduced rate of deceleration. We remain encouraged by the resilience of our portfolio in the face of new supply. Sequential improvements in the same-store revenue growth in Dallas, Houston and Miami, we believe, are indicative of the performance of high-quality real estate when operated by a focused team. After several quarters of cautioning about the impending impact of new supply in Brooklyn, we finally began feeling its effect during the quarter. The good news is that after spending a day driving the market, touring the new comps and speaking to operators, demand is solid, as evidenced by our portfolio having 120 basis points higher year-over-year occupancy, and the newly opened competitor stores appear to be leasing up nicely. The reality is, we have outstanding real estate relative to the overall competitive set and, therefore, we expect Brooklyn to absorb the supply much like our experience with the earlier wave of new construction in the Bronx. We continue to have success in growing our funds from operations per share. Recent transactions have reduced our weighted average cost of capital, while continuing to strengthen our very conservative balance sheet. We remained disciplined in deploying capital, continuing to utilize joint ventures as an additional means of external growth, and our third-party platform continues to be both a source of services revenue as well as a platform for acquisition. Our consumer remains healthy. We currently operate 230 stores that are in various stages of lease up, and demand remains very solid. Significant near-term pressure on price is largely confined to supply impacted markets, and we believe in a long-term value creation, our high-quality platform and portfolio will produce. Thank you for listening to my comments, and I'm now pleased to turn the call over to our Chief Financial Officer, Tim Martin, who will expand on various successes of the quarter. Tim?
Timothy Martin: Thanks, Chris, and thanks to everyone joining us on the call for your continued interest and support. Another solid quarter report. We reported third quarter 2019 results last evening, including a headline result of $0.44 per share of FFO as adjusted, which was at high end of our guidance range. 1.5% growth in same-store revenue and 5.3% growth in same-store expenses yielded same-store NOI growth of 0.1% during the quarter. As Chris mentioned, the impact of new supply on operating fundamentals continues into the back half of 2019, consistent with our expectations. We continue to see pressure on run rates, while continuing to maintain solid occupancy levels. Same-store occupancy ended the quarter at 92.5%, and we averaged 93.1% during the quarter. Expense growth of 5.3% was driven by continued pressure on real estate taxes, timing of repair and maintenance costs compared to last year as well as the impact of a fairly significant increase in the cost of our property and casualty insurance compared to last year. Following our big transaction last quarter, external growth was more modest in the third quarter. On a wholly owned basis, we acquired 2 stores during the quarter for just under $18 million, one in Atlanta and one in Charleston, South Carolina. Year-to-date, we've invested $189 million into wholly owned store acquisitions and have another $88 million under contract. So we continue to find good opportunities to grow and expand in our target markets. Our HVP IV venture that is focused on lease-up acquisitions added two more stores during the quarter for $46 million, and we expect to add another two stores during the fourth quarter to that venture for around $34 million. During the quarter, we opened one of our development projects in the Boston MSA. We also added a new development into our pipeline in King of Prussia, Pennsylvania as detailed on Page 23 of our supplemental information package. We currently have 5 projects in our development queue, with deliveries expected through 2021. Our third-party management platform continued adding stores in a meaningful way as we added 48 stores in the third quarter, bringing our third-party platform to 652 stores under management. This growth allows us to further leverage our operating platform, expand the CubeSmart brand and likely will provide some attractive acquisition opportunities in the future. On the balance sheet front, we've been active in raising both debt and equity capital. During the quarter, we issued 1.8 million shares under our aftermarket equity program, raising $61.2 million at an average price of $34.93 per share. In subsequent to quarter-end, we accessed the public bond market for the second time this year. In early October, we issued $350 million in senior unsecured notes that bear interest at 3% and mature in 2030. Proceeds from the offerings were used to repay amounts drawn on our revolving credit facility as well as to fund acquisition and development activity. Combining all of this activity, along with our new $750 million revolver we discussed on last quarter's call, we're well positioned from a balance sheet perspective and have capacity to execute our external growth strategy and to fund that growth in a manner that's consistent with our investment-grade credit ratings. Our revised earnings guidance and underlying assumptions are detailed in our release from last evening. Highlights include a narrowed full year range of FFO per share as adjusted of $1.67 to $1.69, which is 0.5p raise at the midpoint, as well as narrowed ranges for our outlook for same-store revenue, expenses and NOI. We introduced fourth quarter FFO per share as adjusted guidance of $0.41 to $0.42. So thanks, again, for joining us on the call this morning. At this point, Chad, why don't we open up the floor for some questions?
Operator: [Operator Instructions]. And the first question comes from Smedes Rose with Citi.
Smedes Rose: I wanted to just ask a little bit about the change in the guidance, particularly at the top-end. I know your prior guidance had indicated some deceleration through the back half of the year, and it seems like, I think, relative to a lot of forecast, it was a little steeper than expected in the third quarter. Was that mostly due to what you saw in Brooklyn? You kind of called that out, or is there something else going on that would -- or that changed, I guess, from your prior outlook?
Christopher Marr: Yes, Smedes. This is Chris. No, I mean the Brooklyn -- the results in New York have actually been better than we would have anticipated throughout 2019 based on what we saw at the end of last year and our expected timing of deliveries. Again, we're just providing a range of outlook. We created that range in the fall of the year before, and we're still operating within that range. It just became obvious that the -- that everything breaking in our way and all the markets across the country to hit the high end was going to be mathematically challenging based on where we are through the 9 months, and so we adjusted that top-end accordingly.
Timothy Martin: Yes. I mean mathematically speaking, the -- our previous high end, given our third quarter print, would have mathematically suggested a reacceleration in the fourth quarter, which we do not anticipate, which is why we took away the high end of that range.
Smedes Rose: Okay. And then you just -- you had mentioned that in some of the markets that saw development early on in the cycle, you sounded like maybe a little more optimistic on this. But which one sort of specifically, maybe as you're looking into 2020, maybe perhaps would see some sort of reacceleration in?
Christopher Marr: Yes. I think, again, it's those ones I rattled off in my prepared remarks that saw the impact of supply earlier in the process. So when you look at what right now is on our radar for deliveries in 2020, you see the sharpest declines in Dallas, in Chicago and in Houston, and to some degree, in Miami, although still more anticipated in '20 in Miami than in Chicago or Dallas or Houston. And I think, again, Austin would also be in that category. So those are the markets where you're starting to see some green shoots. We saw some good outcome in Q3 from that perspective. Our occupancies are there. We're just starting to see rental rate climb back from its lows and gives us some optimism as we go into 2020 that those markets will continue to show improvement.
Operator: The next question will be from Jeremy Metz with BMO Capital Markets.
Robert Metz: Just sticking with supply, Chris, you had mentioned your continued -- or your expectation that supply peaks during 2019 and starts to decline in 2020. I guess, as we step back and think more broadly about just the lingering impact here, you mentioned it weighing in on 2020. But what is a typical lag as you think about it between peak supply and peak supply impacts?
Christopher Marr: Yes. I think you're in that academically, kind of, that 9- to 13-month range as that's sort of the churn in the customer base. And that's, again, as it relates to a decline in price based on that supply. I think the rate at which that impacts you slows. So I think the impact, as we get here later in this impact of the supply cycle, will be less pronounced than the rate of its impact as we experienced it earlier this year through the third quarter. If that's helpful to sort of answer it in that 2 -- in 2 ways there.
Robert Metz: Yes. No, that's fair. And just switching gears to the expenses, if I look at the advertising spend, it's up. I mean, clearly it was 4% but nothing crazy, at least relative to what we're seeing from some of your peers. Are you just not seeing as much incremental demand with additional spend such that you're not ramping that even harder or is it just better faith in the systems to be selective on bidding and no need to really crank up that spend just from the diminishing returns on additional costs? Just trying to think about how you're valuing the increased ad spend from here.
Christopher Marr: Yes. So the focus is on achieving our objectives while paying very close attention to the cost of that incremental customer relative to the lifetime value of that incremental customer. And in Q3, we certainly actively looked at spend. We're willing to spend, but we are able to achieve our objectives in the quarter continuing to be, again, with that eye on that incremental customer and their value relative to the spend. As we look forward, the landscape hasn't changed. It is incredibly competitive, not only from the larger competitors and their spend, but also from the regional and nontraditional storage folks who are also ramping up pay.  You have to focus in on the fact that paid search in and of itself produces the least amount of customers for us, and so that's only one component of the overall. I think, to be fair, as we look at the landscape and we look out into Q4 and into 2020, our expectation would be that we will continue to find ways to use other channels and to be able to generate that incremental customer at a reasonable cost that will cause us to spend at a rate in excess of inflation. How high does that go? Stay tuned, and we'll articulate that when we provide guidance for operating expenses for next year. But I continue to anticipate that our spend will continue to grow at a rate more rapidly than what it has in the past and, certainly, more rapidly than the rate of inflation.
Operator: The next question will be from Todd Thomas with KeyBanc Capital Markets.
Todd Thomas: Just sticking with expenses, can you comment on the increase in property taxes? Almost 8% in the quarter. Is that level of growth in property taxes expected to persist for a period of time or was this quarter a bit more elevated than you would expect going forward?
Timothy Martin: Todd, it's Tim. There's a couple of things going on there. It is a little bit of a difficult comp because we had some good news in last year's numbers. We had the benefit of a handful of assessments -- challenges that came back in our favor last year to create a little bit more difficult comp. That said though, boy, it's hard to get too excited about seeing meaningful decreases in that level of growth in property taxes. It feels like a broken record. We've been talking about this for, what, 3 or 4 years now. But for us, in the quarter, we saw significant pressure on growth in Texas, in Chicago, Houston, San Antonio, Cleveland, Nashville, to name a few, that were the bigger impact MSAs. We're in the midst of preparing all of our outlook for 2020, and as Chris mentioned, obviously, we're not sharing that on this call, but we continue to expect pressure in the real estate tax range. We've experienced, as you know, over the past couple of years, anywhere from 4% to 8%. Of course, quarters can go up and down, but I would certainly anticipate that at least into 2020 and possibly a year beyond that, that the continued pressure on real estate taxes is not going away anytime soon.
Todd Thomas: Okay. And you mentioned San Antonio, and we saw 168% increase in operating expenses there. I realize it's just for 4 stores, but was that predominantly due to property taxes? And do you expect to see any other sort of big pops in other markets like that?
Timothy Martin: Yes. That particular market was significantly impacted by a successful refund last year. So there was an increase in the general real estate tax bill in San Antonio in the 2019 period. But the 2018 period was helped meaningfully by a tax refund. So it's a really difficult comp, so I wouldn't read too much into that one.
Todd Thomas: Okay. And then just shifting over. So the Labor Day sales that many operators held during August into September, did that have an impact on traffic and activity across your portfolio? And was that expected or was that new this year or at least more impactful than in prior years?
Christopher Marr: It's Chris. It was not new this year. Certainly for a few of our larger competitors, it's a recurring theme. I think what was new this year is duration. You saw some variation of a sale regardless of what it was branded that lasted longer into September. Certainly from one of our competitors, it lasted significantly longer in September. So that's new. I think anytime you have something like that, it puts some pressure on the rentals. It certainly works from an occupancy perspective. It puts additional pressure on price because you're giving away an additional concession there. Now some of that is offset by changes in face rate that you make in advance of the sale. But I would say -- I would not read into that, that it was anything different than the norm. As I said, the only thing I would say is different is the duration was a little bit longer in terms of keeping that employee spend what we would have seen in the last couple of years.
Operator: The next question will be from Jonathan Hughes with Raymond James.
Jonathan Hughes: Kind of a related question. Were you guys running any revenue-management experiments with rates or discounting during the quarter? And if so, and I realize it might be tough, but do you have a sense of what revenue growth would have been had you not made a potential change?
Christopher Marr: Yes. So great question. We are running experiments and tests constantly. We are playing around with a bunch of different things all year, some of which, again, quarter-to-quarter, can have an impact. It can swing, obviously, both ways. I think some of the things we were doing leading into the third quarter put some pressure on quarterly revenue growth, but not -- I would not say it was overly meaningful, but certainly put a little bit of pressure on, obviously with the belief that the long-term revenue growth from those customers is going to be better and to our advantage. All right? So maybe trading discounting for a higher rate or various other tools. But yes, directionally, yes.
Jonathan Hughes: Okay. And then I think you mentioned earlier but just wanted to confirm. You're not seeing any change in existing tenant behavior, despite any of the broader macroeconomic choppiness?
Christopher Marr: No. I mean our self-storage customer, as I said, continues to remain very healthy. Demand is healthy. I mean, again, my point, the stores that are new, and again, it's -- we own or manage over 200 stores that are in some degree of lease up. The physical occupancy is fine, and most of the stores are leasing up quite nicely. It's just in those markets with heavy impact of supply, you're seeing an awful lot of pressure on price. And again, to go back to the -- and not to be the broken record, the stable stores only need to backfill 5% or 6% of the customers who vacate every month. So you're not chasing that customer down to the bottom, but we have stores in market where you've got competitors that are face rate 25% to 50% below what I would say are market rents. We don't have to chase them to that point, but we continually see, call it, somewhere between 2.5% and 3.5% down in effective rents relative to where we were last year, and last year was down relative to the year before. So it's pressure in the markets with supply. I'm confident that this too shall pass.
Jonathan Hughes: Okay. That's helpful. And then just one last one for me. You ended the last call by hinting at priming the balance sheet ahead of an interesting time period for the sector, and you executed on that with the debt and equity raises since then. Are you finally starting to see more properties come to market as maybe some owners and other operators find out this business is tough, and they're performing below expectations and may look to monetize before things could get even tougher?
Timothy Martin: It's Tim. I mean, we always see opportunities. There's always a market for folks that are looking to dispose of their self-storage holdings. I don't know that I will go so far as to characterize it the way that you laid it out that folks are trying to call a shift in the market. We continue to work hard to focus on deals that come to market. We continue to focus on existing relationships, largely through our third-party management platform, but not exclusively. And we've underwritten a tremendous amount of opportunity this year, many -- much of which there is just a disconnect between buyer and seller expectations. But obviously, as we have increased our activity and our guidance on external growth modestly, we're finding opportunities.  We continue to be optimistic that opportunities will come. I don't -- I wouldn't characterize that there was some type of market shift that somebody's trying to call the top, and they're trying to sell in advance of that. That said, a lot of folks, as we've talked about for several calls, a lot of folks who've built their stores and built them based on a pro forma that they established many years ago, that didn't anticipate another store being built or two more stores being built in that market. Many of those stores are not performing to their underwritten pro formas. And many of those builders or investors were short-term-focused anyway. So there's certainly going to be some activity that we are going to see that's a result of that type of activity. But again, back to our comments for the past couple of quarters, we don't think that folks are in distress. I think folks are going to be modestly disappointed compared to where they thought they were going to be, and I think that probably provides some opportunity for us or for someone to make a good investment here in the coming 12 or 24 months.
Operator: The next question will be from Shirley Wu of Bank of America.
Shirley Wu: So this is a follow-up on New York. And as you are seeing more of an impact of supply in the back half of '19, could you talk to the cadence of that supply over the next few quarters and what you anticipate getting delivered? And also on top of that, some of the Street feedback you're seeing in the boroughs in 3Q.
Christopher Marr: Sure. So I think as you look at new development impacting each of the boroughs, and I'll start with the Bronx, as we think about the Bronx, there is 1, 2, 3 deliveries left for '19, and then right now, what we're looking out for '20 years is 1 store that's on the dock to open in '20. So I think again, you're starting to see the opportunities for supply there dropping off pretty significantly. In Brooklyn, again, I think you've got a similar construct. Most of the deliveries are scheduled either already have happened. So Brooklyn, just like every other borough in New York, you can build the stores where the zoning is. So we have 4 stores out of our same-store pool in Brooklyn who are currently experiencing 8 brand-new comps impacting them. If you take away those four stores, out of our overall Brooklyn same-store pool, the other stores in Brooklyn are actually performing pretty nicely and have same-store revenue growth that's quite healthy. So it's a concentrated impact, which is just the reality of life in the boroughs.  And so I think the significant impact in terms of deliveries in Brooklyn largely are coming now. We either saw them in the third quarter or we'll see them in the fourth. Queens, just not much happening. I mean it's -- there's a delivery here or there. Again, it's a different cat. Those deliveries tend not to have as much of an impact as they do in Brooklyn and in Bronx. We have the one property in Manhattan, it's unaffected. We're starting to see supply in Long Island, in North Jersey, in Westchester. Again, I think the Bronx opportunity set is dissipating quickly, and so folks who want to continue to find opportunities in the New York MSA are moving out into the suburbs or Staten Island store, which is just a spectacular site, continues to chug along just very, very nicely. Does that help, Shirley?
Shirley Wu: Yes. That's helpful. And can you also talk to what you are seeing in terms of net effective rate trends in 3Q, starting from, let's say, the end of 2Q and moving into the back half? And then what you're seeing going into October as well?
Christopher Marr: Yes. No sharp changes. Again, we continue to be in, as I said to a previous question, we're in that somewhere between down 1, down 5 in net effective rents, and I know that's a pretty big gap. But again, it's a story of the supply and no supply. The markets, Las Vegas is a great example. They aren't seeing the impact of new supply. We have got very, very solid asking rent or net effective rent growth. Similar in many of the California markets, while it's swelling relative to what we had seen in the heyday. It's still a nice growth in those markets, and we know where they are that are same supply. They're down to some degree. Worse than our portfolio is Houston, Florida. All of Florida is seeing some pressure from supply. It's now not only Miami, it's the West Coast of Florida up into Orlando and then even Jacksonville to some degree. So it's -- the song remains the same and will be until we get into next year and start to, I think, see a diminishing impact from the supply.
Shirley Wu: Okay. So the range is a little bit wider than expected. So if you were to do a back of an envelope and weighted by your exposure to those different markets, would your net effective rent rates be closer to high end or lower end of that range?
Timothy Martin: Yes. Right in the middle, Shirley.
Operator: Our next question comes from Ki Bin Kim with SunTrust.
Ki Bin Kim: Can you go back to the supply topic? You said you're seeing supply peaking next year, but just trying to get a sense of what that really means. So if there were like 2,000 properties being delivered and next we'll be down to 1,900, hit pie doesn't mean much. But because they're thousands, obviously, it's more meaningful, just trying to get a better picture.
Christopher Marr: Yes. And so these numbers are a range, Ki Bin, because, again, some of these deliveries that we would anticipate coming in to 2019 will obviously not get completed until a little bit in January and February of 2020, equal number by probability will not open in '20 and will move into '21. But in order of magnitude for us, and again, this is just our top 12 markets, which is about 70% of our revenue, you are going from a range in 2019 of expected deliveries in those top 12 markets of somewhere between 300 and 360, going to a range of somewhere between 110 and 150.
Ki Bin Kim: Well, that's a pretty big drop-off. And when you look at maybe permitting data, is that at a similar tone or is that a little bit different?
Christopher Marr: Yes. I think all of it sort of holds together. I mean we're -- we've got our own proprietary work that we do internally. We utilize the various entities that are out there, doing a similar amount of work. We look at, and again, and this is in the top 12, I just think you're running out of opportunity that makes sense economically. I mean, the rental rates that you would need to have a new development makes sense, and certainly, in the top-tier markets are well in excess of what today's rental rates are. And I think, given the experience that people are having who did open in the last 18 to 24 months, you're just not seeing as much activity. It's moving then to the second-tier markets. So I think there still is opportunity. It's going to largely be away from those markets where our portfolio is heavily concentrated.
Ki Bin Kim: Okay. And earlier you said there were no changes to customer behavior when they get a rent increase. But how about for new customers, any kind of incremental changes in kind of shopping patterns? Or how sensitive they are to prices, maybe that's highlighted by the average time visitors spend on your website, if that's changed at all, things like that?
Christopher Marr: No. I just think there are more options, right? So no change. I just think, again, given the amount of new supply, the customer is finding -- they are finding more options. And so therefore, we need to be more efficient on getting those customers we need to meet our objectives at the stable stores.
Operator: The next question is from Eric Frankel with Green Street Advisors.
Eric Frankel: I just want to touch on third-party management business. So obviously, you had a fair amount of stores this quarter, but I think the net new additions is only about 4. So maybe give us a comment on the stores that came off your platform.
Timothy Martin: Sure, happy to. So you'll recall that last quarter, we talked about our HVP III transaction, where we acquired 18 stores and sold 50 stores. As part of that transaction, the new operator or the new owner of those stores was looking for a transition period for us to continue to manage for a short period of time while they staffed up their operations. Ultimately, their intent is to self-manage those stores. And so during the quarter, more than -- the majority of the stores that came off the platform were stores that we transitioned off of our platform to the new owner. And then the balance of the stores that left the platform were various little chunks of stores that were sold.
Christopher Marr: Yes. The biggest chunk was a sale to another, not to CubeSmart.
Timothy Martin: Correct.
Eric Frankel: Got you. Okay. And one of the questions really is to New York again. So one of your -- I guess, you can call it one of your competitors purchased a pretty sizable portfolio in the market there at a pretty -- well, it seems like a pretty aggressive price. Maybe you can just touch upon whether valuations in New York have changed at all as fundamentals maybe have softened a little bit?
Christopher Marr: Sure. I mean I think I'll start it by -- I'm not sure they are a self-storage competitor, but time will tell. The values in New York, yes, clearly continued to be grind a little bit tighter. I mean it's just a very, very attractive market long term for storage. We're proud to have identified that 8 years ago and be the market leader there. But when you're looking at valuations across the country, I think you're -- historically, for the last 25 years, you always looked at California and everywhere else. I think that's shifting a bit to some of the East Coast markets being perceived on an equal footing.
Operator: The next question comes from Todd Stender with Wells Fargo.
Todd Stender: And just to stay with New York. Looking at your Brooklyn development project, the opening date slipped into Q4, and there's a lot to get that investment total up to the final estimate. I wonder if you can just speak to the specific project, just because of its size, and maybe you still have a good nut to get that up to that $43 million.
Timothy Martin: Yes. So the difference between the -- where we are and where we ultimately will be is that, that development deal's structure is similar to many of our deals, where our development partner has the right to put their position to us in the future. So we put in our total investment number there what we ultimately expect, including their put. So that will come in one big chunk.
Christopher Marr: Yes. And Todd, I was just there, again, as I said, I spent the day in New York touring, and that site is an extremely challenging site. We are under the elevated train line or next to it. And interestingly enough, I think we've talked about this site, we're about 14 inches from a competitor store that they've just finished and are leasing up right now, and actually are leasing up really nicely. Two basements. So it's a complicated construction. The delays are days and weeks, not months. We try to predict as best we can when the stores will open, but that stores should open here before the end of the year, and we're super excited about it. It's a really underserved market, and we look forward to being a very good competitor to our peer.
Todd Stender: And in something like that, is the lease-up period expectation still three leasing seasons or you really like it and it's like two? How do you think about that?
Christopher Marr: Yes. For a size of that store, I think the underwriting would be more like four. I will say based on where the market is today, we're pretty pleased with being able to get that store delivered. But yes, it's going to be more like four.
Todd Stender: Got it. Okay. And then just switching to disposition guidance. Just at the high end of the range that came way down, was there a group of assets or a market that you might have been looking to exit or just the fact that you tapped the bond market already here in Q4 and you're plenty liquid so you don't need any proceeds right now? How do you think about that?
Timothy Martin: I wish there were some great answer to that. We started the year with a $0 to $50 million range because we're exploring a couple of opportunities. And as we sit here today, we know what the answer is. So we sold the 1 store in Texas here subsequent to quarter-end, and that's likely to be the disposition activity for the year.
Todd Stender: All right. Was that a very small asset? For $4 million, it sounds on the tiny side.
Timothy Martin: It was $4.1 million worth of asset.
Operator: Ladies and gentlemen, this concludes our question-and-answers session. I'd like to return the conference back to Chris Marr for any closing remarks.
Christopher Marr: All right. Well, thank you, everybody, for listening in. Trust me, we're going to navigate through this impact of supply just fine. The customer remains very resilient. Our business continues to be extremely solid. It's a challenge here going forward, I think, for a few quarters as we go quarter-to-quarter, but for those of you with a longer-term outlook on our industry and our company, I feel extremely confident we're moving in a good direction. And as the new supply impact begins to wane, we'll come out of the other side stronger for it. So thank you all for listening. Look forward to seeing many of you in sunny Los Angeles, California, and we'll look forward to speaking to everybody on our year-end call. Have a great weekend. Thanks.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.